Operator: Good day and welcome to the GATX First Quarter Earnings Conference Call. Today's conference is been recorded. At this time, I’d like to turn the call over to your host, Ms. Rhonda Johnson, Director of Investor Relations. Please go ahead, ma'am.
Rhonda S. Johnson - Director, Investor Relations: Thank you, Melissa, and good morning everyone. Thanks for listening into our first quarter conference call. With me today are Brian Kenney, President and CEO of GATX Corporation and Bob Lyons, Vice President and Chief Financial Officer. Before we get to your questions, I’ll give a brief overview of the numbers, which were provided in our press release this morning. But first, I’d like to remind you that any forward-looking statement made on this call represents our best judgment as to what may occur in the future. We’ve based these forward-looking statements on information currently available and disclaim any intention or obligation to update or revise these statements to reflect subsequent events or circumstances. The company's actual results will depend on a number of competitive and economic factors, some of which may be outside the control of the company. For more information I refer you to our 2007 Form 10-K/A filings. And one final housekeeping issue, tomorrow is our Annual Shareholders Meeting to be held at the Northern Trust Building at the corner of LaSalle and Monroe in downtown Chicago. The meeting begins at 9 A.M. Central. For those of you who are unable to attend, slides from Brian Kenney's presentation to shareholders will be posted to our website, www.gatx.com. Now, let's turn to the first quarter numbers. Today, we reported income from continuing operations of $52.2 million or $1.03 per diluted share, which included a $6.8 million or $0.13 per diluted share benefit from reversal of tax-related reserves. By comparison, in the first quarter of 2007 we reported net income from continuing operations of $37 million or $0.65 per diluted share. As reflected in our results in the quarter, our markets are performing as expected. The North American rail market continues to soften, however our fleet continues to perform well in this environment. Our North American fleet utilization was 98.1%, up from 97.9% at year-end. Our utilization remains very high, as our focus on extending term over the last few years has limited the number of leases rolling over in the softening market. And we also continue optimizing our fleet through targeted car sales. This sale activity also contributed significant remarketing income to our first quarter results. Demand remains high for general service tank cars, our bread and butter for 110 years, but as we’ve noticed previously there is weakness in freight cars, particularly those related to housing and construction. We continue to have good results in renewing leases at higher rates with existing customers. Renewal rates on railcars in our Lease Price Index increased 12% over the expiring rate in the first quarter. As we noted in today's press release, we've revised our lease renewal rate reporting statistic to more fully reflect the composition of our fleet. Historical statistics under the new LPI are available on our website, again at www.gatx.com. Specialty finance reported $30 million in segment profit in the first quarter of 2008, up from $24.6 million in 2007, thanks to a high level of remarketing income and continued excellent performance in our marine joint ventures. The marine market remains robust with high vessel utilization, strong demand, and increasing charter rates in the first quarter of 2008, particularly in the gas tanker and dry bulker markets. American Steamship Company began the 2008 Great Lakes sailing season in late March and early April. As you know, January through March is the off-season on the Great Lakes, as weather and ice helps the movement of ships. And as a result, any income contribution at AFC is small in the first quarter. We anticipate continued strong demand on the Lakes in 2008, but rising diesel prices will create operating challenges. As far our 2008 guidance, we have reiterated the EPS range we outlined back in January. The first quarter was a solid start to the year and our markets are performing in line with our expectations. Just to refresh, we anticipate income from continuing operations of $3.15 to $3.35 per diluted share in 2008, excluding the tax benefit this quarter that I mentioned previously. So, with that quick overview, Brian, Bob, and I are ready to take your questions. Melissa? Question and Answer
Operator: [Operator Instructions]. Our first question comes from Bob Napoli from Piper Jaffray.
Robert P. Napoli - Piper Jaffray: Thank you. Good morning. Congratulations on great quarter. You guys aren't supposed to this in a recession.
Brian A. Kenney - Chairman, President and Chief Executive Officer: Thanks, Bob.
Robert P. Napoli - Piper Jaffray: I just wondered, if you maybe could give some feel for what percentage of your business would be tied to US exports and our exports… the spike up in exports, is that helping your business more than in the past?
Brian A. Kenney - Chairman, President and Chief Executive Officer: I don't have an exact percentage for you, Bob, but to the extent the continued export environment and obviously the weak dollars helping that. But to the extent, there’s products moving by freight cars that certainly plays to our advantage, about a third of our fleet is freight cars, as you know. We don't participate substantially in the intermodal sector, so that really doesn't... as the numbers move around on the intermodal front, it doesn't really play into our results too much, but net-net obviously it's positive.
Brian A. Kenney - Chairman, President and Chief Executive Officer: Yes, I would say less than other participants in the industry, I mean we do have grain cars, but of much lower percentage than most. So, I don't think there is a whole lot compared to others tied to specifically that quarter.
Robert P. Napoli - Piper Jaffray: Okay. The competitive environment and we hear that Trinity is very aggressive on pricing and I just wonder if you can give some update on what is going on in that regard?
Brian A. Kenney - Chairman, President and Chief Executive Officer: Well, it is a very comparative market, not only there are a lot of idle cars in the industry since that are being cement, coal, grain, plastic pellets, but there is also a lot of new cars delivering this year. So, even on renewals we're finding ourselves competing against some of these new cars delivering. There is a lot of ethanol cars delivering this year. So, it's an unsettled market and it is very competitive and people are being very aggressive, especially to try to place new cars, because as you know nothing is worse than a brand-new car going into storage. We have avoided that situation so far and even for example on ethanol where we have probably more cars that we wanted delivering this year, they are essentially all place now. So, generally we've made very good progress against that, but it is an unsettled, very competitive market and there is more and more new cars delivering every quarter.
Robert P. Napoli - Piper Jaffray: Obviously, CIT has a railcar business that’s now up on the market and your leverage spiked up this quarter from 3.1 to 3.2 despite your buybacks. And if you take the deferred taxes, your leverage 2 to 1, conclude that as equity, so you obviously are in an enviable balance sheet position. You have a major competitor on the market and I think you kind of suggested that the outlook for share repurchases depended upon purchase... railcar purchase opportunities and it would have to be major in order to probably slow down your buyback program. Can you give some thoughts on whether you would be interested in a major acquisition of railcars?
Brian A. Kenney - Chairman, President and Chief Executive Officer: I think you just answered your question, Bob, but we won't comment on any specific opportunities, fleets or rumors, but I think our strategy has been laid out pretty clearly over the last couple of years, which was in the upmarket. We want to prepare ourselves for the downmarket and I think we've done that due to what you just said, strong balance sheet and the ability to invest and take up leverage. So, I think that stands… that answer stands.
Robert P. Napoli - Piper Jaffray: And then how many shares did you repurchase at what price this quarter and what are your plans with the convert that comes due in August?
Robert C. Lyons - Senior Vice President and Chief Financial Officer: Bob, it's Bob Lyons. The total repurchase was just over 2 million shares... 2.1 million shares. So, that just based on a gross number, we did around $37 a share…
Robert P. Napoli - Piper Jaffray: Okay.
Robert C. Lyons - Senior Vice President and Chief Financial Officer: And change, and as far as the convert, we’ll continue to look at the alternatives and options we have in front of us. When we laid out our forecast at the beginning of the year, we assumed that that was taken out in August when it matures, but we’ll continue to analyze what alternatives we have in front of us, that certainly doesn't have to take place, but we’ll look at it.
Robert P. Napoli - Piper Jaffray: Just last question. On the funding side, the credit markets are obviously horrid. Can you give an update on… you guys are obviously performing extremely well, but even so can you give an update on what you are seeing in the funding markets as it relates to GATX, what do you have left to do this year and what do you expect on pricing?
Brian A. Kenney - Chairman, President and Chief Executive Officer: Okay. Well, we completed two sizeable financings in the first quarter and both went extremely well for a total of $350 million. Through the balance of the year, what we have left to do without getting too specific will be dictated by what our investment volume ends up being. But probably somewhere in the $200 million to $400 million range of additional financing needs based on kind of standard investment activity. But again that will be dependent on eventually what comes in the marketplace for us through investment.
Robert P. Napoli - Piper Jaffray: Are you seeing any widening of your spreads in those transactions?
Brian A. Kenney - Chairman, President and Chief Executive Officer: Sure. And I think on a relative basis, we are still in very good shape compared to our competitors, but along with everybody else, particularly those in the finance arena, yes, spreads have moved out. Fortunately, treasuries have moved down pretty substantially, so our all-in costs remain pretty attractive.
Robert P. Napoli - Piper Jaffray: How much of your spreads widened?
Brian A. Kenney - Chairman, President and Chief Executive Officer: The ten-year transaction that we did last… couple of... a month-and-a-half ago was priced at about 250… 250 over the ten year. I think now the spreads are probably around the 300 range, not inconsistent at all with what's happened across the board to other companies.
Robert P. Napoli - Piper Jaffray: Thank you.
Operator: Our next question comes from Art Hatfield from Morgan Keegan.
Arthur W. Hatfield - Morgan Keegan: Good morning everybody. Hey, on your guidance and I just want to see if I… how to work this with regards to myself modeling the rest of the year. If your guidance excludes the $0.13 from the tax reversals, that gives me $0.20 upside in the quarter and I think part of the reason for the better than expected number’s relative dollar model was asset remarketing income. And to get and stay within your range, I would have to lower some out-quarter numbers, is it fair to say that maybe some of the asset remarketing in the first quarter was pull forward from later quarters in the year?
Brian A. Kenney - Chairman, President and Chief Executive Officer: I wouldn't say it’s pull forward. Remarketing occurs when it occurs. But I...
Arthur W. Hatfield - Morgan Keegan: I think relative speaking with how I modeled for the year, I guess.
Brian A. Kenney - Chairman, President and Chief Executive Officer: Correct, I wouldn't take the first quarter remarketing activity and multiply it by 4.
Arthur W. Hatfield - Morgan Keegan: Yes, yes. And so I guess to say that because some of the upside in the quarter was related to asset remarketing and I understand that have to happen, but haven’t. If I need to back out numbers for the back half of the year to stay within your range if that's what I do, it wouldn't be that you want… there is not deterioration in your core business per se. Correct?
Brian A. Kenney - Chairman, President and Chief Executive Officer: Well, I don't think… see, I want to be a little careful there and I think Bob was pretty explicit about this on the call last time is that where we expected to be in terms of pricing and all that, it’s pricing… absolute pricing and lease rates that have come down. And as we go through the year, that will have a more of a dramatic impact on the results, right, because the expiring leases… the rate… average rate on the expiring leases is going to go up as we go through the year. And if new lease rate pricing is going down, you’ll see some deterioration there. So, we kind of expected to be where we are in the first quarter.
Arthur W. Hatfield - Morgan Keegan: So, in that regard, the renewals versus the new leases, do they… can they theoretically wash each other out to benefit in the negative from each one?
Brian A. Kenney - Chairman, President and Chief Executive Officer: You are referring to the 12% number in the first quarter, could that narrow to zero or negative as the year progresses and the answer there is, yes.
Arthur W. Hatfield - Morgan Keegan: Okay. But I am thinking more in terms of as you kind of have leases coming off and you are renewing theoretically at higher rates than they went on, but yet your absolute rate on new cars have come down, say, from a year-over-year perspective. Do those two things wash each other out? As a kind of stupid question, I understand, but…
Brian A. Kenney - Chairman, President and Chief Executive Officer: No, what Bob’s saying is that just renewals themselves could be for the year flat by the time you get to the end of the year.
Arthur W. Hatfield - Morgan Keegan: Okay.
Brian A. Kenney - Chairman, President and Chief Executive Officer: As far as new car pricing, remember even in a good market generally they are accounting neutral for the first couple of years. So, I don't think you will see a dramatic impact from new car delivery unless of course they went into storage, but just in terms of rates we never expect a lot of earnings to begin with any way.
Arthur W. Hatfield - Morgan Keegan: Okay. Brain, you have talked about that and some of the concerns about directionally where the market may be heading with some of the pricing practices of people in the industry. Are you more concerned, they are less concerned or kind of like you’ve been over the last 12, 18 months?
Brian A. Kenney - Chairman, President and Chief Executive Officer: Let's say we are pretty much where we have been over the last 12 to 18 months and that's what I said to Bob's question, Bob Napoli, is that it’s very competitive out there. I think our fleet and sales guys did an outstanding job in the first quarter putting cars to work, but there is a lot of new cars delivering in the industry this year and we are competing with them not only with our new cars, but also with our renewals. So, it’s very competitive out there.
Arthur W. Hatfield - Morgan Keegan: Do you know the number of renewals that you have left for the year?
Brian A. Kenney - Chairman, President and Chief Executive Officer: We came into the year hard with roughly 15,000 cars in that range; 15,000 cars, 16,000 cars scheduled for renewal plus some carry-over from the prior year. There isn't a lot of seasonality to that, so you can really kind of split that into four.
Arthur W. Hatfield - Morgan Keegan: Okay. That's helpful. And then Bob has mentioned the CIT thing, we’ve also heard rumors that may be GE Rail Services is up for sale. If in fact those two things are transpiring, does that kind of create opportunities for you to grow organically as they may pull back on what they are trying to do.
Brian A. Kenney - Chairman, President and Chief Executive Officer: Well, I would say we haven't seen that…
Arthur W. Hatfield - Morgan Keegan: Okay.
Brian A. Kenney - Chairman, President and Chief Executive Officer: To date.
Arthur W. Hatfield - Morgan Keegan: Okay.
Brian A. Kenney - Chairman, President and Chief Executive Officer: The businesses are being run and still as they have been run.
Arthur W. Hatfield - Morgan Keegan: Okay, so no changes. And then finally one of the things we’ve seen from some of the other companies we follow that do equipment… follow that do equipment leasing and Bob also brought up the credit markets is that, some other customers are deciding that the least by decision favors lease right now because of where the credit markets are. Are you seeing any of that where your customers who may have done a higher percentage of buying or now looking to potentially lease because of what's going in the credit markets?
Brian A. Kenney - Chairman, President and Chief Executive Officer: I haven't seen nor that I heard of anything like that affecting our business in either rail or specialty. No.
Arthur W. Hatfield - Morgan Keegan: Okay.
Brian A. Kenney - Chairman, President and Chief Executive Officer: It seems like lease busy is about where it’s been.
Arthur W. Hatfield - Morgan Keegan: Okay. That's all I have. Thank you very much.
Brian A. Kenney - Chairman, President and Chief Executive Officer: Thank you.
Operator: Our next question comes from John Hecht from JMP Securities.
John Hecht - JMP Securities: Good morning. Thanks for taking the questions. Just with respect to the remarketing income, you scrapped or sold I believe the highest amount of railcars in several quarters. What type of railcars are you scrapping?
Brian A. Kenney - Chairman, President and Chief Executive Officer: Well, in this type of environment, John, scrap prices are particularly high. There isn’t a type… a set [ph] type of car that we are looking to scrap. What is happening is as cars get older and you look at the repair versus scrap scenario, with scrap prices where they are at you tend to see more cars fall into the bucket of scrapping.
John Hecht - JMP Securities: Okay. So, it’s not trying to kind of alleviate [ph] exposure in any particular segments more just on the net present value analysis?
Robert C. Lyons - Senior Vice President and Chief Financial Officer: Correct.
Brian A. Kenney - Chairman, President and Chief Executive Officer: That's right, that’s added to by a weaker market price, because if you think you can get less rent from the car than you could two years ago that also enhances that scrapping.
John Hecht - JMP Securities: Okay, so we may see based on that consideration a little bit of elevation of that activity for the out-quarters here.
Brian A. Kenney - Chairman, President and Chief Executive Officer: Sure.
John Hecht - JMP Securities: Okay. On the same topic, you’ve mentioned that there is sort of… there is a potential flush of inventory out there and competitive environment. What's happening to new car prices, are you seeing those start to come down to a level where your long-term IRR might suggest you could get some attractive kind of a stock purchases?
Brian A. Kenney - Chairman, President and Chief Executive Officer: Okay. So, you are talking about the cost of the car, not the lease rate?
John Hecht - JMP Securities: Yes. This second question is related about new car purchase cost.
Robert C. Lyons - Senior Vice President and Chief Financial Officer: Well, I think the first answer on that one, John, really is we indicated in the press release that well, they have… new car prices have come down. They haven't come down to a level yet where we you see GATX play for large speculative order. So, while there is moving in that direction you haven't seen any news from us yet on that front. But you can infer from the assets we are not at a level yet where the returns look that attractive to us to place sizeable speculative orders.
John Hecht - JMP Securities: Okay. And just in terms of characterizing, I mean have we made a material movement yet or it’s just sort of been very sticky and you’re just going to… it's kind of far from the level where you would proceed as attractive?
Brian A. Kenney - Chairman, President and Chief Executive Officer: Well, on the freight car side, it's been down 10% plus, on the tank car side it’s down less than that. But we have really haven't tested that in terms of the big orders. So, you don't really know, but I would say that's generally where we see it.
John Hecht - JMP Securities: Okay. On the maintenance cost side, the maintenance cost slipped from last quarter, there may be some seasonal elements in there, but I had thought that given the… I guess the new… it was at the new tire, the new wheel replacement and things of that nature that would… we would have expected that to increase, which are something that brought… kept that a little bit low this quarter and we should expect that to increase in the out-quarters here?
Rhonda S. Johnson - Director, Investor Relations: Yes. The one difference is that ASC is not in the first quarter because you only have the maintenance expenses over the three quarters that they are operating. So, that accounts for some of the difference there. You look at the back pages where we haven’t broken out on the segment, you can see that.
Brian A. Kenney - Chairman, President and Chief Executive Officer: And I think on… that's correct and in addition to that you would see that rail fourth quarter to first quarter did move up a little bit.
John Hecht - JMP Securities: Okay. And then last question is what is the right tax rate we should be accruing for you guys in the next three quarters?
Robert C. Lyons - Senior Vice President and Chief Financial Officer: Well, I said at the beginning of the year and still hold was that we would expect this year’s tax rate to be below 35%, given the mix of foreign income that we’re generating, in particularly foreign income from large tax jurisdictions. So, the mix of income is changing a little bit and we are benefiting from many of the tax rate reductions that have been enacted. So, we would say below 35%, but I’m not going to zero in on a specific number. I think if you adjust for the tax reserve reversal in the first quarter, you would be at about a 33% rate, so somewhere in that ballpark.
John Hecht - JMP Securities: All right, great. Thanks very much, guys.
Operator: Our next question comes from Carl Drake from SunTrust Robinson Humphrey.
Carl Drake - SunTrust Robinson Humphrey: Good morning. On the last earnings call you talked about the possibility of utilization rates coming down 100 to 200 basis points [inaudible]. Given that this quarter you actually saw a slight strengthening, do you... what does the new forecast perhaps for utilization rates?
Robert C. Lyons - Senior Vice President and Chief Financial Officer: Forecast is unchanged?
Carl Drake - SunTrust Robinson Humphrey: Okay.
Robert C. Lyons - Senior Vice President and Chief Financial Officer: It’s encouraging in the first quarter. Based on the points that Brian has talked about and the cars that are out there, new cars being built and coming for delivery have not changed our view on what the pressures will be on utilization this year.
Carl Drake - SunTrust Robinson Humphrey: Okay, and in terms of North America and Europe, any changes there or you still fell like Europe might be stronger than… or at least stable versus North America in terms of utilization?
Brian A. Kenney - Chairman, President and Chief Executive Officer: Utilization in Europe is very strong, on the freight car side it’s 99%, on the tank car sided it's almost 98%, and in general it's been a very strong market over there, realizing price increases. The new car supply is tight, but we still see some attractive investments over there. So, in general we haven't seen any of this weakness spread into Europe, if that’s the question.
Carl Drake - SunTrust Robinson Humphrey: The other question, Brian, is on the 100 to 200 basis points the original guidance, is that on a combined basis for North America and Europe or is that just North America?
Brian A. Kenney - Chairman, President and Chief Executive Officer: That's just North America.
Carl Drake - SunTrust Robinson Humphrey: Okay. A second question on... in terms of remarketing income for rest of the year, I know first quarter is unusually high, but would we assume… I think that last quarter you talked about having remarketing income similar to… maybe it was not in ’06, but '05 and I think that has come up with a $45 million number for the year, is that a…. is that still a reasonable expectation?
Robert C. Lyons - Senior Vice President and Chief Financial Officer: I think the statement we made at the beginning of the year was that remarketing would be more consistent or remain with where it was in 2006 than it was in 2007 and I think the '06 number was in the high 40s.
Carl Drake - SunTrust Robinson Humphrey: Okay and that still stands?
Brian A. Kenney - Chairman, President and Chief Executive Officer: Nothing has changed on it.
Carl Drake - SunTrust Robinson Humphrey: Okay, okay. And then was there anything on the… depreciation expense came down $4 million quarter-over-quarter, was there any… I'm sure I was assuming that would continue to rise, but I guess your balance on your CapEx, your overall assets came down slightly, is that what was behind that?
Rhonda S. Johnson - Director, Investor Relations: No, actually again it's ASC. Depreciation and maintenance expense are both affected by the fact that ASC is not operating in the first quarter.
Carl Drake - SunTrust Robinson Humphrey: Okay, okay. And then in terms of comfort leverage on an acquisition, is that something that four times or maybe even five times is a reasonable comfort leverage on a… to be opportunistic or perhaps on a significant acquisition?
Robert C. Lyons - Senior Vice President and Chief Financial Officer: It’s a difficult number to circle in on, but I guess the comment I would make is, it would be up from where it’s at today, but we are certainly… under any scenario would be committed to maintaining a very strong capital structure and strong credit rating. So, that would have to… we are taking into consideration and see where that plays out.
Carl Drake - SunTrust Robinson Humphrey: Okay. Last question is on affiliate earnings, you talked about in the press release the marine and charter rates are still very strong, demand is strong, is that something that on a year-over-year basis from '07 to '08 you would see perhaps double-digit growth or single-digit growth there?
Rhonda S. Johnson - Director, Investor Relations: I think that’s unlikely just because we’ve had… '07 was such a strong year. I think we… our expectation is that '08 continues to be a pretty strong year, but there is a couple of markets where it’s a little bit softer, the chemical parcel tanker market has been softer than it was last year, but the dry bulkers and the LNG, LPG tankers have been doing quite well. So, our expectation is that it continues to be a decent market, but I don't know that we would anticipate the kind of growth you are talking about.
Carl Drake - SunTrust Robinson Humphrey: But certainly anticipate some growth.
Robert C. Lyons - Senior Vice President and Chief Financial Officer: Yes.
Carl Drake - SunTrust Robinson Humphrey: Okay, okay. Thank you, good quarter.
Brian A. Kenney - Chairman, President and Chief Executive Officer: Thank you.
Operator: [Operator Instructions]. Our next question comes from Rich Shane from Jefferies & Company.
Richard B. Shane, Jr. - Jefferies & Company: Thanks guys for taking my questions. Two things, one just in terms of what's going on in the market, CIT on their conference call in terms of their rail leasing business talked about record placements during March. Curious to know from you guys, do you think that that is being… first of all how is that impacting the market, you talked about a highly competitive market, but do you think that that's impacting pricing for you and do you think that that's being driven by CIT positioning for some strategic alternative for that business? I guess the ultimate bottom line is do you think they are being rational on the business you saw them do in March?
Brian A. Kenney - Chairman, President and Chief Executive Officer: Yes, I won’t speculate on the second part of that question, but on the first part I don't know that their behavior or anybody's behavior of the competitors is any different than it has been.
Robert C. Lyons - Senior Vice President and Chief Financial Officer: Or that we anticipated.
Brian A. Kenney - Chairman, President and Chief Executive Officer: Yes.
Robert C. Lyons - Senior Vice President and Chief Financial Officer: There are others out there with larger delivery calendars for this year than we have obviously and that will be a challenge, that will aggressive with those new car deliveries and work as hard as they can to get in place. So, we are anticipating pressure on that front.
Richard B. Shane, Jr. - Jefferies & Company: Got it and I realize of course that you won't speak to potential transactions and understand in respect that. But obviously even if you are not interested, one of the first conversations you would had given the portfolios, given CIT and given the potential with GE Rail, as you would have had would have been with your attorneys about Hart-Scott issues. Is this even possible given concentration within the industry?
Brian A. Kenney - Chairman, President and Chief Executive Officer: Really that's too specific a question for me to comment on.
Richard B. Shane, Jr. - Jefferies & Company: Okay, I respect that. Thanks, guys.
Brian A. Kenney - Chairman, President and Chief Executive Officer: Thanks, Rich.
Operator: Next we’ll go to Paul Bodnar from Longbow Research.
Paul Bodnar - Longbow Research: Good morning, guys. Quick question on used car or used railcar prices. I mean with all these cars for sale from CIT, etcetera on the market, is that driving down prices at this point or what's going on there?
Robert C. Lyons - Senior Vice President and Chief Financial Officer: Well, we had an active remarketing quarter with railcars and we didn't see any price deterioration there beyond anything we had anticipated coming into the year. So, I wouldn't say there is a dramatic change from what our thoughts were coming into the year.
Brian A. Kenney - Chairman, President and Chief Executive Officer: Yes, not that we have realized and what we did in the first quarter, but I think that's a good question. There is a lot out there in the market right now and actually I don't think we have the answer to that yet, we’re going to be looking at the same thing.
Paul Bodnar - Longbow Research: That’s pretty much a wait and see type thing over the next few months here?
Brian A. Kenney - Chairman, President and Chief Executive Officer: Yes, let's see there’s… like I said there’s some not big portfolios, I'm talking about just general railcar sales out there right now and we’ll see how those go and we’ll have some data for that to answer your question.
Paul Bodnar - Longbow Research: Okay.
Robert C. Lyons - Senior Vice President and Chief Financial Officer: And then keep in mind that's not just GATX selling cars, it’s also cars we’re looking at for acquisitions, so we’ll get a good feel as the year progresses.
Paul Bodnar - Longbow Research: And then secondly on ASC, I know last year had some headwinds from just the water levels in the Great Lakes. I know it's obviously [inaudible], but anything along those lines to look out for this year that could impact results from that segment, obviously potential there for their higher diesel costs. I mean how are you guys kind of built that into pricing, I know you have some renegotiations coming up for contract?
Rhonda S. Johnson - Director, Investor Relations: Yes, we have had a number of contracts that we have rolled over into this year, we’ll do that again at the end of this year and end of next year as well. So, we’ll be able to get some list from that. Water levels are still going to be an issue, I don't think that's been alleviated by anything that we’ve seen this year. The biggest challenge last year was weather and obviously we’re hoping that the weather will cooperate a bit more this year, but that's always the question mark with ASC. All that said, this demand environment is there and it's definitely still a very strong market. Diesel... and with the diesel costs going up as dramatically as they have in recent quarters, that makes it more of a challenge, but I think overall we say the demand environment is there. It's going to be a matter of the diesel cost and then what happens with the weather.
Paul Bodnar - Longbow Research: Can you give us the surcharge, anything on the increased diesel cost or is that pretty much you ate it?
Rhonda S. Johnson - Director, Investor Relations: No, we do have that in the contracts. You recover it partially, not all of the contracts recover all of the fuel costs and when the fuel cost is moving as rapidly as they are, it becomes a bit more challenging.
Paul Bodnar - Longbow Research: Okay. Thanks a lot.
Operator: [Operator instructions]. We have a follow-up question from Bob Napoli.
Robert P. Napoli - Piper Jaffray: Thank you. A question on what you see in your business versus the overall economic outlook. I mean typically most people would think… probably think we are in a recession in the United States right now. Historically, if you go back and look at GATX and if you said recession, your business is showing some much weaker signs than it's showing so far. What do you guys see? Why do you think you are… maybe give a little bit of color and what you see in the economy? We almost have two economies in some regards and that your utilization must be higher than you thought it was going to be at this point, three months ago?
Brian A. Kenney - Chairman, President and Chief Executive Officer: Yes, that's true, but that’s… once again we think there is downside to that utilization numbers, as Bob said earlier on the call. The second thing is that a lot of our business in the tank car side and generally that's been more stable. The third thing is with the actions we have taken over the last few years on extending term and scrapping cars that are less desirable on a downturn, some other actions. I think we are insulated a little better than in the past. Fact is we are a cyclical business, we are tied to the economy. The longer this lasts, you will start to see it more in our financial results. That's why we are not high-five in each other about the increased utilization in the first quarter. It's still a rough market out there. So, yes, we are a little more insulated than the past, but it really depends on the severity and how long it lasts, because actually we’ll get to it if it lasts a long time.
Robert P. Napoli - Piper Jaffray: Right.
Robert C. Lyons - Senior Vice President and Chief Financial Officer: And I also… you don't want to underscore the work that needs to be done and was done, the key to maintain utilization where it was in the first quarter. Our commercial guys are, I would say they are working extremely hard and proactively in this environment. It's not easy to achieve that utilization level, whereas a year or two ago, it certainly was.
Brian A. Kenney - Chairman, President and Chief Executive Officer: And the last thing I would add to that is, I was pretty clear on the first quarter conference call that especially at our best customer positions, we are going to protect that utilization, which means we will try to be a price leader in the right emphasis and that doesn't hit you dramatically right away either, but that comes into your financials over time.
Robert P. Napoli - Piper Jaffray: Okay. Then a question on residual gains, railcar prices over the last five years even with a 10% pullback are up dramatically and you have a railcar fleet that if you mark-to-market, it would have to be worth substantially more than book value. But I don't know, I mean that's got to come into play in one way, one form or another over the long term in higher lease rates or in higher residual gains. But having said that, as you look at your gain per cars sold, how can we try to get some gain… some gauge on the profitability level of cars that you are selling today on a trend basis. The gain must be much higher obviously than it’s been historically. And unless railcar has pulled back another… and price another 20%, you are going to continue to get gains when you sell a car that are well above… would have been normal for the last 25 years or so, let’s say.
Brian A. Kenney - Chairman, President and Chief Executive Officer: I think there is definitely some truth in that, Bob. Keep in mind that the sell versus hold decision is not just whether or not you generate a gain. Whether it's a better holder itself and so the price you are looking at in the secondary market as it comes down, yes, you could still sell some things for a gain, but you may be better off holding that car economically. As for the cars we are scrapping, definitely we are seeing record scrap prices well in excess of what we had anticipated and that also factors into some of the decisions you are making with… certainly with older cars. But we still feel we are in a pretty good position.
Robert P. Napoli - Piper Jaffray: Any feel for like the gain, I don’t know how look you look at gain per car that you are selling versus historical levels?
Robert C. Lyons - Senior Vice President and Chief Financial Officer: No, we haven't. We don't break that out. We look at that I think more… tend to look at that really on a scrapping basis, but it's not something we are working out.
Brian A. Kenney - Chairman, President and Chief Executive Officer: That's what I was going to say, it's kind of hard to come up with a metric to satisfy there, other than scrap prices are a lot higher than they have been historically. I mean whereas some cars are getting scrapped for $11,000 plus, which you haven't seen, I don't know if you have ever seen.
Robert P. Napoli - Piper Jaffray: Okay. And let's see, just maybe last question on… besides the big opportunities may be to make investments in cars out there and some of these properties that may or may not be for sale. Are you seeing opportunities emerge or maybe talk about, I mean, not just about US rail, but within US rail, within the marine business, within the European rail business. Your investments in the first quarter were somewhat below probably what you would expect on a run rate for the full year. Are you seeing opportunities out there or do you expect this to be a low investment year unless you happen to capitalize on one of these major opportunities?
Robert C. Lyons - Senior Vice President and Chief Financial Officer: I wouldn't expect this to be a low investment year. Some of that is just timing of deliveries and of opportunities in the marketplace. And yes, in rail beside from the larger opportunities you referenced, there are other portfolios, not of that magnitude, but smaller ones that we’ve seen and have an interest in. Marine, it is still challenging on the marine front, but it’s only due to the fact that asset prices are holding value and continuing to go up. So, it makes the new investment a bit of a challenge. On the industrial equipment side, there we've seen some volatility in the first quarter because of capital market activity and its impact on some of the customers there. But in general I would say we are still expecting a solid investment year.
Robert P. Napoli - Piper Jaffray: Do you expect to execute on your buyback unless you feel like you are going to close one of those big deals or I mean what…
Brian A. Kenney - Chairman, President and Chief Executive Officer: As we say here today, our expectation is we will execute the buyback.
Robert P. Napoli - Piper Jaffray: Okay. Pretty nice to have your share count down 13% year-over-year, fully diluted share count.
Robert C. Lyons - Senior Vice President and Chief Financial Officer: Right.
Robert P. Napoli - Piper Jaffray: Thank you.
Operator: And we have another question from Art Hatfield.
Arthur W. Hatfield - Morgan Keegan: Hi, thanks again for taking my questions. Hey, Bob you made a comment about the tax rate being slightly under 35% for the year, is that before or after the first quarter tax reversals?
Robert C. Lyons - Senior Vice President and Chief Financial Officer: That's ignoring that first quarter tax reversal.
Arthur W. Hatfield - Morgan Keegan: Okay. Thank you. And then a couple other questions and I don't know... I think you have a term for this and if my mind is going this earning season, but… on your lease renewals, do you have like an attrition number, the ones that you don't renew with that existing customer. How efficient were you guys able to renew the expiring leases with the existing customer?
Robert C. Lyons - Senior Vice President and Chief Financial Officer: I think what you are referring to… are to our renewal success rate?
Arthur W. Hatfield - Morgan Keegan: Yes.
Robert C. Lyons - Senior Vice President and Chief Financial Officer: So, of the cars that came up for renewal in a given quarter, how many of those actually we renewed with the existing customer. And I think we’ve indicated in the past that number during very strong time was high as 80% and probably down in the 50% years ago. We are still seeing very good success there, north of 70% and… but we are working hard for that.
Arthur W. Hatfield - Morgan Keegan: I understand and you guys have done a great job in that area. Finally, you all talked about and I understand the economics when you put a new car into the fleet and how that over time will impact earnings? Is it any different if you go into the secondary market and purchase cars that are already on lease or cars that… or a fleet of cars, are the economics any different?
Robert C. Lyons - Senior Vice President and Chief Financial Officer: Well, obviously it depends on the price you pay, but I would say a rash generalization is, yes, buying an older car is generally a little more attractive.
Arthur W. Hatfield - Morgan Keegan: You get the earnings hit the income statement from a positive standpoint quicker than putting a new car to work?
Brian A. Kenney - Chairman, President and Chief Executive Officer: Yes. Once again depending on the price, but I would say on average, yes.
Arthur W. Hatfield - Morgan Keegan: Okay, okay. Thank you very much.
Operator: And that concludes the question and answer session. I’d like to turn the call back over to Rhonda Johnson for any closing or additional remarks.
Rhonda S. Johnson - Director, Investor Relations: Thank you everyone for listening in and I will be available this afternoon if you want to call with any follow up.
Operator: And that concludes today’s presentation. Thank you for attending and have a great day.